Operator: Good afternoon, ladies and gentlemen, and welcome to the First Quarter 2019 Earnings Conference Call for Organogenesis Holdings, Inc. At this time, all participants have been placed in a listen-only mode. Please note that this conference call is being recorded and that the recording will be available on the Company’s website for replay shortly. Before we begin, I would like to remind everyone that our remarks may contain forward-looking statements that are based on the current expectations of management and involve inherent risks and uncertainties that could cause actual results to differ materially from those indicated, including the risks and uncertainties described in the Company’s filings with the Securities and Exchange Commission, including Item 1A Risk Factors, of the Company’s Form 10-K for the year ended December 31, 2018. You are cautioned not to place undue reliance upon any forward-looking statements, which speak only as of the date made, although it may voluntarily do so from time to time. The Company undertakes no commitment to update or revise the forward-looking statements whether as a result of new information, future events or otherwise except as required by applicable securities laws. This call will also include references to certain financial measures that are not calculated in accordance with generally accepted accounting principles or GAAP. We generally refer to these as non-GAAP financial measures. Reconciliations of those non-GAAP financial measures to the most comparable measures calculated and presented in accordance with GAAP are available in the earnings press release on the Investor Relations portion of our website. I would now like to turn the call over to Mr. Gary Gillheeney, Organogenesis Holdings’ Chief Executive Officer. Please go ahead, sir.
Gary Gillheeney: Thank you, Lauren and welcome, everyone to Organogenesis Holdings first quarter 2019 earnings conference call. I’m joined today on the call by Tim Cunningham, our Chief Financial Officer. Let me start with a brief agenda of what we will cover during our prepared remarks. I will start with a high level overview of our revenue performance during the first quarter of 2019. After my opening remarks, Tim will provide you with a more in-depth review of our quarterly financial results, as well as an overview of our financial guidance for 2019, which we updated today in our earnings release. Following Tim’s discussion of our financial results and outlook, I will then share some thoughts on why we believe, we are well positioned for strong performance in 2019 and solid long-term growth going forward. And then we will open up the call for questions. We were pleased with our operating and financial performance in the first quarter and believe we are off to a solid start in 2019. We reported total revenue growth of 61% year-over-year driven by sales growth in our advanced wound care products of 64% and sales growth of our Surgical and Sports Medicine products of 47% year-over-year. Our revenue growth performance was a direct result of our powerful combination of strategic investments that we've made in expanding our commercial infrastructure in recent quarters and empowering those selling representatives and agencies with our differentiated and comprehensive portfolio of advanced wound care and Surgical and Sports Medicine products. Our Q1 results also benefited from a full quarter of the recent favorable reimbursement decision for our largest product line PuraPly. As discussed in our Q4 call, on October 1st 2018, CMS resumed making pass through payments when customers use PuraPly products in the outpatient hospital setting and in ambulatory surgical centers. This will continue through September 30th 2020. Our 61% total revenue growth was driven by 139% growth in sales of our PuraPly products in Q1 as compared to Q1 in 2018. But it's important to recognize that our total growth in Q1 is not entirely related to improving growth trends in PuraPly. Sales of our non-PuraPly products increased 27% year-over-year in Q1, which reflects the strong execution of our sales force who have been focused on continuing to expand our customer relationships and support their physician customers as they increase the use of our regenerative medicine product portfolio. With the successful execution of our commercial strategy, we leveraged PuraPly’s pass through advantage to gain new PuraPly accounts to drive customers and clinician adoption of PuraPly deeper into existing accounts and drive sales of our other products into accounts that previously only use PuraPly. Strong execution from our sales team also drove penetration of our amniotic products into existing and new accounts despite the suspension of Affinity production in Q1, 2019. We also reported stronger than expected revenue growth in Surgical and Sports Medicine this quarter, fueled by strong portfolio of differentiated orthobiologics products including NuCel for bony fusion in the spine and extremities and NuShield for surgical application in targeted soft tissue repairs, and the investments we've made in our sales force have led us to a very strong start to fiscal 2019. Additionally, we grew our customer base across both our advanced wound care in surgical and sports medicine portfolios and continued to build our commercial infrastructure via direct sales representatives and independent agencies. Based on our solid first quarter financial results, our expectations have continued strong commercial execution. We have increased our 2019 full year financial guidance. And finally, we recently announced that we received an innovative technology contract from Vizient, Inc, the largest healthcare performance improvement company in the country as part of Vizient's move to value-based care. This is an important expansion of our existing relationship with Vizient. And this new contract provides access to all of their 3,100 hospitals and more importantly provides them access to our entire portfolio. We are understandably pleased with this decision and believe this contract with Vizient represents both the appreciation of our differentiated portfolio of products and an alignment with our mission which is to provide integrative healing solutions that substantially improve medical outcomes and the lives of patients, while lowering the overall cost of care. With that, let me turn the call over to Tim, our Chief Financial Officer for a detailed review of our financial results in the first quarter as well as the review of the fiscal year 2019 guidance. Tim?
Tim Cunningham: Thank you, Gary. I will begin with a review of our first quarter financial results. Revenues for the first quarter of 2019 was $57.1 million, compared to $35.5 million for the first quarter of 2018, an increase of $21.6 million or 60.8% from the first quarter of 2018. Revenue from advanced wound care products of the first quarter of 2019 was $47.8 million compared to revenue of $29.2 million for the first quarter of 2018, an increase of $18.6 million or 63.7% year-over-year. Revenue from advanced wound care products represented 83.8% of total revenue in the first quarter of 2019 compared to 82.3% in the prior year. The increase in advanced wound care revenue was primarily attributable to additional sales personnel, PuraPly regaining path to reimbursement status, the two year period effective October 1st 2018, and if the continued growth in adoption of our amniotic products. Revenue from Surgical and Sports Medicine products for the first quarter of 2019 was $9.3 million compared to $6.3 million for the first quarter of 2018, an increase of $3 million or 47.2% year-over-year. Revenue from Surgical and Sports Medicine products represented 16.2% of total revenue in the first quarter of 2019 compared to 17.7% in the prior year. The increase in Surgical and Sports Medicine products revenue was primarily attributable to the expansion of our sales force and penetration of new and existing accounts. As of March 31, 2019 we had approximately 245 direct sales representatives up from 215 at year end, an approximately 155 independent agencies, up from 130 at year end. Revenue from PuraPly products for the quarter, for the first quarter of 2019 was $25.4 million compared to $10.6 million for the first quarter of 2018, an increase of $14.8 million or 139.1% year-over-year. Revenue from PuraPly products represented approximately 444.5% of total revenue in the first quarter of 2019, compared to 30% of total revenue in the first quarter of 2018. Revenue from sales of non-PuraPly products increased $6.8 million or 27.3% year-over-year in the first quarter of 2019. Gross profit for the first quarter of 2019 was $40.1 million compared to $21 million for the first quarter of 2018, an increase of $19.1 million or 91.1%. Gross profit for the first quarter of 2019 -- gross profit margins for the first quarter of 2019 was 70.3% of revenue compared to 59.1% of revenue for the first quarter 2018. The improvement results primarily from a more favorable product mix in the first quarter of 2019. PuraPly regaining pass through reimbursement status and to a lesser extent volume based manufacturing efficiencies. Operating expenses for the first quarter of 2019 were $52.3 million compared to $41 million for the first quarter of 2018, an increase of $11.3 million or 27.5%. The increase in operating expenses in the first quarter of 2019 as compared to the first quarter of 2018 was driven primarily by higher selling, general, administrative expenses which increased to $48.9 million compared to $38.2 million in the first quarter of 2018, an increase of $10.7 million or 28.1%. The increase in selling, general, administrative expenses is primarily due to additional headcount primarily hiring in our direct sales force, higher sales commissions as a result of increased revenue, and increased marketing and promotional expenses for our products. R&D expense for the first quarter of 2019 was $3.4 million compared to $2.8 million in the first quarter of 2018, an increase of $0.5 million or 19.4%. The increase was primarily due to additional headcount and additional clinical programs spend. The operating loss for the first quarter of 2019 was $12.1 million compared to an operating loss of $20 million for the first quarter of 2018, a decrease of $7.9 million or 39.3% due to the aforementioned reasons. Total other expenses net for the first quarter of 2019 were $3.5 millio5 n compared to $2.5 million for the first quarter of 2018, an increase of $1 million or 41.5%. The increase was driven primarily by a $1.9 million non-cash loss on the extinguishment of prior debt obligations following the new $100 million credit agreement with Silicon Valley Bank and Midcap Financial that we closed in March of this year. Net loss for the first quarter of 2019 was $15.7 million or $0.17 per share compared to a net loss of $22.5 million or $0.35 per share for the first quarter of 2018, a decrease of $6.8 million or 30.3%. Adjusted EBITDA loss for the first quarter of 2019 was $9.4 million compared to an adjusted EBITDA loss of $17.3 million the first quarter of 2018, a decrease of $7.9 million or 45.8%. We have provided a full reconciliation of adjusted EBITDA results and our earnings release Form 8-K and Form 10-Q all of which were filed with the Securities & Exchange Commission this morning. Turning to the balance sheet, as of March 31, 2019 the company had $30.6 million in cash and $88.1 million of debt obligations, of which $17.4 million were capital lease obligations, compared to $21.3 million in cash and $59.3 million in debt obligation of which $17.7 million were capital lease obligations, as of December 31, 2018. The net change in cash of $9.3 million for the quarter ended March 31, 2019 was driven by $19.1 million of cash provided by financing activities, partially offset by $9.6 million of cash used in operating activities and $0.3 million of cash used in investing activities during the quarter. Turning to a review of our fiscal year 2019 revenue guidance, which we updated in our earnings release this morning. For the 12 months ended December 31, 2019 the company now expects total revenue of between $249 million and $262 million representing growth of approximately 29% to 35% year-over-year, as compared to total revenue of $193.4 million for the 12 months ended December 31, 2018. The 2019 revenue forecast assumes revenue from advanced wound care products of between $219 million and $229 million representing growth of approximately 33% to 39% year-over-year as compared to revenue of $164.3 million for the 12-months ended December 31, 2018. Revenue from Surgical and Sports Medicine products of between $30 million and $33 million representing growth of approximately 3% to 13% year-over-year as compared to revenue of $29.1 million for the 12 months ended December 31, 2018. The 2019 revenue guidance range also assumes that revenue from the sale of our PuraPly products will represent between $96 million and $103 million of revenue representing growth of approximately 38% to 48% year-over-year as compared to revenue of $69.8 million for the 12-months ended December 31, 2018. With that, I'll turn the call back over to Gary. Gary?
Gary Gillheeney: Thanks, Tim. Overall, we are pleased with our operating and financial performance in the first quarter and believe we're off to a solid start to 2019. We've updated our 2019 revenue guidance to reflect the strong growth in our Surgical and Sports Medicine business in Q1, and we are confident in our total growth expectations implied by our full year 2019 guidance. We believe, we have several unique strengths that position as well for the future. We are a leader in regenerative medicine space with strong brand recognition and that wrecking -- brand recognition is getting stronger every day. We are well-positioned in large attractive growing markets, specifically advanced wound care and surgical sports medicine. We have a comprehensive suite of products to address the clinical and economic needs not only of the patients, but also of the providers. We have a large and growing body of clinical data in a portfolio of products with FDA and PMA approvals, and FDA clearances. We have established robust and extensive customer relationships with hospitals, wound care centers government facilities, ambulatory surgery centers in physician offices to sell our broad portfolio of products, and are experiencing deeper sales in all of those sites of care. We have established a scalable regulatory commercial and manufacturing infrastructure in our executive management team has extensive experience in the regenerative medicine industry, boasting over 100 years of collective experience, and accomplishments in the space. This experience allows us to operate from a deep understanding of the underlying trends and regenerative medicine in the scientific clinical regulatory commercial and manufacturing requirements necessary to drive success in the industry. And we look forward to speaking with the investment community in the future and appreciate your interest in Organogenesis. With that Lauren, I'll turn it back to you.
Operator: Thank you. [Operator Instructions] And our first question comes from Matt Nixon with Credit Suisse. Your line is now open.
Matthew Miksic: Hey, good morning. Thanks for the question and congrats on a solid start here.. So a couple of questions about the trends, I mean first in PuraPly. I know it's early in the year and no one would expect you to kind of run out and raise numbers, but you did raise guidance just a little bit on the top end, but very strong start for the year on PuraPly holding the guidance there. Can you help us understand maybe the cadence throughout the year that you're expecting, or if you just sort of recognizing the fact that it's early and you don't want to don't start getting ahead of yourselves just on one quarter.
Gary Gillheeney: Yes. Thanks. Thank you for that. It is early, it's just the first quarter, and you typically have seasonality that that hits the entire business in Q1. So until that seasonality which really relates to medical deductibles, hospital formularies getting reset, there's a lot of noise. So we typically, you know I'd like to get through the first quarter. We’re certainly very pleased with the results we're seeing with PuraPly and those trends are continuing to improve. But at this point, I think we're just comfortable with the guidance where it is.
Matthew Miksic: Great, understood. I mean there's -- there's a number of questions here which I'm expecting other folks to kind of get into around Salesforce and some of the other lines of the P&L and the sales lines. But I had one question Gary if I could, just coming out of the CWC [ph] there was some talk I guess maybe more so than last year about the prospect of changes to potentially, good changes, positive changes to the high price, low price structure of reimbursement around wound care that's been in place for a while. And I know that -- that's the possibility of change has been out there. It seemed to be a little bit more incrementally you know buzzing at some of the meetings and I just want to get a sense of you know is there a change in current or is it just or is it just more of the same folks just kind of talking about the prospect of changing reimbursement, but your expectations would be helpful there?
Gary Gillheeney: Sure. Well I think that it's more of the same right now, but you're correct. There is a lot of discussion going on about the bundle, the high cost, low cost bundle. I think, most of the conversations are around stabilizing those bundles, or moving to a system over time that would bring more stability to the reimbursement model. So I think, those discussions will be going on the next year or two, but the direction is as you said is more positive where they'll either be more stability and in securing your position in the bundles or looking at a way that CMS can kind of set this and set a system of that, leave it the way it is, that will continue to bring stability to the market. So we're participating in those discussions. We think they're positive, but it's more of the same in my opinion seen it this year and from most likely next year.
Matthew Miksic: Great. Well thanks I'll hop back in queue.
Operator: Our next question comes from Ryan Zimmerman with BTIG. Your line is open.
Ryan Zimmerman: Good morning, and congrats on a good start there. I want to ask Gary about Sports Medicine a little bit. Looks like you did better than certainly we were expecting and subsequently that was part of the source of the guidance range, so or most of the guidance range there. So maybe you could help us understand the confidence you have in that business today versus last quarter, and what you're seeing in customer interest within surgical sports medicine and I have a follow up, thank you.
Gary Gillheeney: Sure. Well we've added more agencies in the first quarter, which provided a little help though those agencies take about 9 to 12 months to ramp up. But we're also seeing significant improvement in the existing agencies we have. We've enhanced our training. We've enhanced our direct sales force internally, which manage those agencies. So the level of training and the additional performance we're getting out of the existing agencies are certainly a big part of that. We've also increased the number of customers. So our customer reach has expanded. So we have all of those dynamics working for us, better performance of existing agencies, broader reach and we feel our training program has significantly enhanced the effectiveness of those agencies. So that gives us continued confidence that our products will continue to do well in the Surgery Sports Medicine market.
Ryan Zimmerman: Okay. Fair enough. That’s helpful. And then could you just provide some more color around the suspension of Affinity in the quarter, when you expect to have that back in production and if you can quantify what the suspension may have caused and potential lost sales atleast with this quarter just so we can have a sense of kind of what that could get back to potentially if you want to go ahead.
Gary Gillheeney: Sure, so our expectation is we have contracted with another manufacturer to manufacture Affinity and we've also leased a new facility here in Massachusetts that will also have the ability to manufacture Affinity. We expect the new contract manufacturer to stop producing product in Q4 of this year, but not have these commercial scale until Q1 of 2020. So where our expectation is we'll stop manufacturing in Q4, but really won't have enough product until Q1 to really have enough commercial product to release it to our sales team.
Ryan Zimmerman: Thank you.
Operator: Thank you. Our next question comes from Steven Lichtman with Oppenheimer & Company. Your line is open.
Steven Lichtman: Thank you. Hi guys. Just first question on Vizient, just a little more context, is it a contract with minimums like the MSA strategy you've spoken about before or more of a license to hunt. And any estimate of how big the wound care business is across Vizient?
Gary Gillheeney: Yes. There are no minimums. It's really a license to hunt. We do business with them today. This also helps to protect the revenue that we have. And it expands the -- our Surgical and Sports Medicine portfolio to all 3100 hospitals, so that's a huge impact on that business. We're not sure exactly how much wound care business is in those 3100 hospitals, but it's significant, and I would guess several $100 million worth of wound care would be a guess in those 3100 hospitals. It's really impactful in the surgical sports medicine side, because every one of those hospitals as an inpatient, not every hospital has an outpatient setting. So, very very positive for both portfolios but particularly the surgical sports medicine.
Steven Lichtman: Got it, thanks Gary. That's helpful. And then just secondly on salesforce, you started off strong here in terms of new hires in the first quarter. Any update on how many total reps you'd be targeting to add this year. I think you've said 50 to 60 perhaps this year. Is that still a good number, or could that maybe go higher based on the earlier results?
Gary Gillheeney: That's still a good number.
Steven Lichtman: Okay. Great. Thanks guys.
Operator: Thank you. [Operator Instructions] Our next question comes from Bruce Nudell with SunTrust. Your line is open.
BruceNudell: Hi. Thanks for taking the question. Could you give us some the SG&A spend was a little higher than we expected. I know that you know it's the stated goal to build up the sales force that makes total sense, but could you give any guidance on adjusted EBITDA for the year?
Gary Gillheeney: Sure. Tim, you want to handle that?
Tim Cunningham: Sure. The --we have as you know in the interim model out there, and so we are saying our goal is to navigate between now in 2020 and 2022 to break even. We expect to show modest some leverage this year, continue to have to target high 60s for SG&A as a percent of revenue to get there by 2022.
BruceNudell: Okay, great. And I saw the ReNu results at AAOS and I just wondered if you guys could put that in context, because it could be a very large growth driver relative to how uronic acid and how you're planning to position that product?
Tim Cunningham: Sure. So yes, we're excited about the data that was presented at AAOS. We've recently locked down the 12-month data and crossover data and are in the manuscript process right now preparing that manuscript. So as you know, we are one of the arms in the study is how uronic acid, that's a $2 billion market. How uronic acid has about $1 billion of that $2 billion market. So we feel very strong that we have superior results compared to how uronic acid, I think that's clear in this study. So we would expect once approved, and once reimbursed, we would have a significant share of that hyaluronic component of osteoarthritis market of about $1 billion. So we will, we will compare ourselves and go head-to-head with hyaluronic acid and the superior results I think it's going to be extremely positive when we launch the product.
BruceNudell: Thanks so much.
Tim Cunningham: I'd also say that ReNu is commercial today as you know it's not a significant component of our revenue. It's growing over 45 by about 45% year-over-year without reimbursement and without significant effort to sell. And the -- we're getting very favorable responses to the clinicians that are using the products in the patients. So you know the study that we have, and the anecdotal information we're getting back from use today is very consistent, so we still feel very strongly about the prospects for ReNu.
Operator: Thank you. And our next question is a follow up from Matt Nixon with Credit Suisse. Your line is reopened.
Matthew Miksic: Hi thanks for taking the follow up. I'd just maybe one on amniotic and one on a follow up on Bruce's question on EBITDA. That's okay. So if you could -- understanding Affinity is on hold for the moment to build out the manufacturing capacity. Can you talk a little bit about success at the account level or in growth or share any color that you can provide around NuShield given that it's a little bit differentiated at least the feedback we've gotten from some of the other products out there, and then and then of course the leader in that amniotic space continues to cede share for the moment. As I mentioned, just one follow-up on EBITDA trends.
Tim Cunningham: Sure. Sure. So, are our portfolio, the strength of our portfolio is really being demonstrated at this point, as our Affinity customers are now turning to our other amniotic product NuShield, which is an outstanding product has two and a half times the growth factors of any other dehydrated product in the market and is closest to natural tissue maintaining all three layers of the amnion. So we have been able to convert many of those customers to NuShield or to other products in the portfolio, and particularly those that need commercial insurance, you know Apligraf and Dermagraft is covered by over 1500 commercial insurers, no other skin substitute has the commercial insurance, that those two products have. So that our portfolio strength has allowed us to continue to sell significant amount of NuShield, our amniotic growth is over 70% without Affinity. So it does speak to one, the execution on the sales side, but also the quality of our NuShield product, so we're very excited about both Affinity coming back in Q1 next year and the additional success we're having with NuShield, so both products are part of the future growth of this company for sure.
Matthew Miksic: That's helpful color. Thanks. And then on EBITDA, just it seems like you see this trend or at least in the data that we have in your financials historically of sort of like an improvement throughout the year. You did beat on operating income, at least by our numbers in the quarter despite the below the line offsets to that. So if we are -- I guess one question -- one part of the question is on trends is just should we see this kind of improving EBITDA margins throughout the year and then is the right way to think about say this year and next year, improving EBITDA trends generally offset by I guess the PuraPly in late 20, and then potentially I guess the question is around this Affinity, does that – are there any cost associated with that, that would maybe change the trajectory of EBITDA margins throughout this year or trajectory or level this year or next year?
Tim Cunningham: In Q1 of 2019, OpEx of $52 million reflects the incremental investments we're making to grow the business, expanding the sales for increased commissions, on higher revenue, additional investments and R&D as we talked about on the call. But when you think about 2019 OpEx, we expect quarterly OpEx to increase modestly, as we continue to invest. We expect to show some leverage and full year of 2019 and continue to target the high 60s SG&A as per percent of revenue in 2022 and get to EBITDA break even by that target of 2022.
Matthew Miksic: I got you. That’s helpful, Tim. And just wondering in Affinity it sounds like whatever you're doing with Affinity here isn't really affecting your trajectory much if at all it sounds like from your comments.
Tim Cunningham: Well we – we today we both reaffirmed and raised our guidance.
Matthew Miksic: Yes. Terrific. Well thank you. Thanks Tim.
Tim Cunningham: Sure.
Operator: Thank you. And that does conclude our conference for today. Thank you for your participation.